Operator: Welcome to the ibex Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to turn the conference to your host, Ms. Brinlea Johnson with The Blueshirt Group.
Brinlea Johnson: Good afternoon and thank you for joining us today. Before we begin, I want to remind you that the matters discussed on today’s call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management’s current beliefs and assumptions. Please note that these forward-looking statements reflect our opinions as of the date of this call and we undertake no obligation to revise this information, as a result of new developments, which may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our annual report on Form 20-F filed with the Securities and Exchange Commission. With that, I’ll turn it over to Bob Dechant, CEO.
Bob Dechant: Thanks Brinlea, and good afternoon, everyone. I’m incredibly proud and excited to share with you our fiscal 2021 results and outlook for the future. With our 16th consecutive quarter of organic revenue growth, I am pleased to announce that we achieved a record year of revenue, EBITDA and new client wins in both, quantity and in your bookings. And we did this in the face of a once-in-a-century global pandemic. COVID-19 forced companies to accelerate their digital transformation to thrive or survive. As a result, they looked aggressively to key partners to support their digital-first businesses. And I’m proud to say that ibex has won on a big stage with digital-first blue chip businesses, leading new economy companies, as well as hyper-growth, iconic FinTech and HealthTech. We had a record number of new logo wins that more than doubled our previous high for in-year revenue. And once again, we had 100% retention within our top 20 clients, which accounts for more than 90% of our revenues. Overall, we retained 99.5% of our clients on a revenue basis, comparing from FY20. Ibex is winning as a result of the many key attributes, we have built over the last six years. At the forefront is our tech-led solutions in our Wave X platform that drives innovation and performance. Equally important is the culture that we have built, our speed and flexibility, our unique and best client branding and the strength of our leadership. This, as you have heard me say multiple times, is BPO 2.0. It is differentiated. It is disruptive and it is very difficult to replicate. Our results are the proof points. As we walk through our results today, you will see our transformation as a company is clearly working. And while I’m extremely proud of our FY21 results, I believe that the best is yet to come. Before we dive into the most recent business results, I want to take a moment to share my look back and what we’ve accomplished in my own personal scorecard that I hold myself accountable to. I have now completed my 6th year at the helm of ibex. In FY 2016, we started the transformation from a traditional labor arbitrage-focused business to a digital-focused business. The results of this initiative are nothing short of spectacular. Revenue from clients won since 2016 are now approximately $230 million, up 40% from prior year, and at a five-year CAGR of 84%. This is data of over 60 new clients. Approximately 75% of this business is integrated omnichannel and digital, while the remaining 25% are with great brands that are investing heavily in and placing a priority on delivering great customer experiences. As the momentum continues to build, the result is great diversification across our client base and strategic verticals, but most importantly, with a differentiated customer value proposition leading the way. Our top three clients represented nearly 70% of our business in FY 2015. 12 months ago, at our IPO, those three legacy clients were at 44%. We exited Q4 of this year, where these clients are now down to 28% and trending lower. Again, this is driven primarily by the explosive growth of our high-margin, digital-first business, choosing ibex as a CX brand partner. The demand for our digital-first services led to an increase in over 3,300 new seats, a 34% increase to our nearshore and offshore locations, which are our highest margin regions. And we established the strong backlog of an additional 3,200 seats that will be launched in the first half of fiscal year 2022. In addition to our new domestic location in Pittsburgh, we just announced our entry into the Honduras market, with initial plans to hire more than 400 people. Our goal is to become the leader in Honduras, just as we did in Jamaica in Nicaragua, while growing our Honduran workforce to over 2,000 employees within the next two years. In two and a half short years, we will have seen our nearshore and offshore capacity grow by 125%, while the domestic capacity has been reduced by 25%. By December, 77% of our seats will reside in our high-margin nearshore and offshore locations. This has helped position ibex as the number one provider of BPO, and CX services across Nicaragua, Jamaica, Provincial Philippines, and Pakistan. What matters most here is that our returns on this spend, since I’ve joined, have been stellar. We track our returns on invested capital, and new seat capacity to meet client demand in our nearshore and offshore centers typically have a payback of less than two years. So, while we have record revenues, up nearly 10%, and record EBITDA up nearly 20%, which we’re extremely proud of, there’s something even more powerful forming underneath. Let me review my perspective on some industry trends that are accelerating the need for our differentiated solutions. Competition for wallet share has never been higher. Demand for everyday products has increased exponentially, and consumers are switching brands at unprecedented rates. As consumers flock to new shopping strategies, brand loyalty has been tested like never before. Beneficiaries of this shift are trusted brands that provide their customers with high-quality customer obsessed support and innovative solutions. As volumes of interactions increase, we see a growing need for superior differentiating service and support. Speed and precision of artificial intelligence technologies and analytics, in addition to human insight has become the focal point for shaping the customer journey and provides the intelligence needed for the customer experience of the future. The current shift is galvanizing companies to rethink the traditional customer delivery platforms and organize their business around a broader multichannel approach. The desire for convenience and simplicity with each consumer connection is driving the need for automation that will quickly solve customer inquiries and the need for expertly trained contact center personnel. AI automation is the key to supporting both, the non-voice channel support and the interaction with frontline personnel. Whether we are supporting a digitally transforming blue chip or digital-first company, the option to support consumers when and how they desire is paramount to the success of the overall service strategy. Companies are turning to ibex because of our acute focus on the customer experience, our ability to enhance our client brands and our ability to deploy technology and AI across the customer and agent life cycle. Now, to our greatest asset, our people. To help protect their health and safety, we continue to put our employees first in all the markets we operate, as it relates to COVID-19. We invested close to $13 million in our people to keep them in our centers safe and COVID-19-free. This is one of the many costs that have been added to our current P&L today in a COVID environment. So, the attractive margins and cash flows we see today will only be up into the right in the future. These investments in our people are paying off. Our team has been performing amazingly. We have passed all of our health audits and we have had no site shutdowns. Today, we are proud to say that we have over 70% of our people vaccinated in the Philippines and over 95% in Pakistan. As a comparison, the current vaccination percentage in the Philippines is 14%. Without question, we are the gold standard in these markets for our vigilance against this terrible virus. This is the type of track record that truly delights our clients and builds loyalty with our employees. Additionally, we recently conducted our iVoice employee satisfaction survey, and I am proud to say that we have a best-in-class employee net promoter score of 71. And our great employee base are providing an astounding 40%-plus of referrals for our new hires. In addition, through our ongoing investment in our ESG programs, we continue to support and enrich the lives of our employees and their families. In the past year, we have provided essential services in areas, who have been most challenged with the ongoing spread of COVID-19. We are reshaping social dynamics in many countries we operate in. We provide equal opportunities and an exciting career for women and many minorities, in parts of the world where that simply does not exist. Coming to work every day, I am beyond excited to see the sheer talent, energy and customer first mindset that our culture breeds and our employees drive upon. Now, let me touch a minute on work-at-home. Work-at-home capabilities have been a great vector of resiliency to enable us to offset the lost capacity and keep our pipeline of agent candidates strong in all markets. However, despite our record margins, some of our contact centers are currently at the 50% capacity with COVID restrictions in place, showing how much earning potential is left in front of us with our existing footprint alone. We have built the operational platform now, that post-COVID-19 has the ability to scale to approximately $650 million in revenue in today’s footprint, complemented with work-at-home. This will position us for a very meaningful inflection of free cash flow. In closing, ibex has become a partner of choice for some of the world’s most well-known brands across our strategic verticals, which continues to be an important driver and key strategic element of accelerated growth. These strong client partnerships, industry-leading CX models and innovative technology continue to generate a strong recurring cash flow with high earnings visibility. We are extremely excited about the opportunities in front of us. Now, before I turn the call over to Karl for the financial update, I would like to introduce Dan Bellehsen, EVP of Investor Relations and Corporate Development. This was a strategic hire by me and the Board, not just in the area of significantly improving our Investor Relations function, but across corporate strategy and capital allocations. Dan joins us from Columbia Threadneedle, where he was a portfolio manager and shared the responsibility for the firm’s ibex investment, as one of our largest shareholders. Dan believes so strongly in our business, in his investment, that we were able to convince him to join us. I had the opportunity to establish a close working relationship with Dan, over the past 14-months. And I’ve quickly come to respect his return-oriented mindset and passion. We are excited for you all to meet him. Dan would love for you to say a few words.
Dan Bellehsen: Thank you, Bob. It’s great to be here. I’ve been passionate about a more concentrated form of investing throughout my career, but joining ibex takes this to a whole different level, and truly a reflection of this, going all in with what I believe is a rare and exceptional opportunity. This business has done nothing but impressed me since my early work in pre-IPO meetings. I thought I could use this brief time to walk you through what excited me about ibex. The following is my personal view and not a reflection of my former employer. I try to understand the business from every angle, the way that a long-term business owner would, speaking to customers, competitors and employees, trying to understand how it delights its customers, competes with other businesses, why it’s grown in the past, what has to happen for it to thrive in the future, who are the people running it, how are they wired? What I found was a strong franchise punching high above its weight. I learned about expanding customer value propositions using technology at its core, leading the Company to now partner with some of the fastest growing and most tech savvy companies on the planet in an incredibly fragmented industry. I saw an unspoken obsession on operations. Perhaps most importantly, I found the tight knit group of managers that have a real hop in their step every day. It’s not often you get to wait patiently to make a high conviction bet like this, after a business has already been stress tested, and still has an attractive opportunity remaining. Typically, the great opportunities are long gone by then. But COVID has offered me exactly that. The business not only continues to remain incredibly resilient throughout the pandemic, given the mission-critical nature of its offerings, it’s actually put up record results with 16 straight quarters of revenue growth and widened its moat during this time. As Bob and Karl will share with you, the business is forced to be unusually capital and operationally intensive during this period, due to COVID requirement. Without these costs, I believe the profitability and cash flow profile would be significantly different than what it is today. And this is on top of double-digit growth and margins last year. As an investor, this type of under-earning and potential inflection always excited me. Now, the best part. The world is truly our oyster, as far as how we allocate capital from here. It’s rare enough to find a high-quality business with this type of growth profile, providing a sea of high-return reinvestment opportunities to widen its moat, yet at the same time, offering an ability to sit back opportunistically with a growing and large net cash balance and a stock, that’s trading at such a wide discount to its intrinsic value. This combination is truly hard to find and what convinced me to go all in. With that, Karl. I’ll turn it to you.
Karl Gabel: Thank you, Dan, and good afternoon, everyone. Thank you for joining the call today. I’ll start with a review of our full-year 2021 financial results, followed by fourth quarter 2021, and then our fiscal year 2022 guidance. I am happy to report we had exceptional results, ending a breakthrough year. As Bob mentioned, we had a record year of top-line revenue, adjusted EBITDA and continued our impressive addition of new client wins. The combination of digital-first blue chip new [ph] economy and strategic FinTech and HealthTech client awards has more than doubled our in-year bookings over last year. We remain very confident about the trajectory of the business and believe we will deliver strong results for our shareholders. Since our shift to the digital-first marketplace, in fiscal year 2016, the clients we have won now make up more than $230 million or 52% of our current revenue. That’s a five-year compounded annual growth rate of 84%. Our global operational excellence and client-first focus has yielded a 40% annual revenue growth rate over fiscal year 2020 for these clients alone. After 23 new clients won in fiscal year ‘21, 22 launched during the year contributing nearly $30 million of revenue in the year, and on average clients won in the current year typically contribute approximately 2 to 3 times in the subsequent year. In my discussion of financial results, references to revenue are on an IRFS basis while adjusted net income, adjusted EBITDA and adjusted pro forma earnings per share are on a non-GAAP basis. Reconciliations of our IFRS to non-GAAP measures are included in the tables attached to our earnings press release. Full-year revenue increased 9.5% to $443.7 million, compared to prior year. On a non-GAAP basis, adjusted income was $23.6 million versus $17 million last year. Pro forma adjusted fully diluted earnings per share was a $1.28 in fiscal year 2021 versus $0.93 in fiscal year 2020. Full-year 2021 adjusted EBITDA increased to $66.2 million or 14.9% of revenue compared to $55.2 million or 13.6% of revenue in the prior year. This was primarily driven by continued growth in new economy and blue chip digitally transforming clients, expansion outside of the U.S., increase in margins inside of U.S., and some increase in operating leverage.  For fiscal year 2021, our top three legacy client concentration decreased to 34.2% from 43.7% of overall revenue last year, exiting the year at 28.2% in the fourth quarter. By vertical market, retail and e-commerce increased to 19.6% of annual revenue compared to 16.8% in the prior year. Additionally, FinTech and HealthTech, where we made strategic investments in early fiscal year ‘20, increased significantly to 19.3% combined in the fourth quarter, which is a sequential quarter increase from 14.5% and an increase from 9.8% in the fourth quarter of fiscal year ‘20. Conversely, telecommunications decreased to 29.3% of annual revenue, exiting the year at 24.9% in the fourth quarter. Total capital expenditures, including cash and non-cash amounts, were $23.7 million or 5.1% of revenue for the full-year 2021 versus $16.9 million, or 4.2% of revenue last year. The increase in total capital expenditures is primarily attributable to the addition of four new sites in Jamaica, Nicaragua, and the Philippines, as well as expenses at different sites for a total of over 3,300 workstations added during the year. Net cash generated from operations was $25.9 million for the year ended June 30, 2021, compared to $51.7 million in the fiscal year 2020. Excluding changes from working capital, cash from operations increased compared to the prior year. DSOs, which are currently below the industry average were 56 days for the fourth quarter, up 7 days from the same period last year, and 5 days sequentially. As previously communicated, the increase in DSOs was related to one of our larger clients reverting back to standard payment terms. Non-GAAP debt free cash flow decreased to $5.1 million for $46.5 million in the prior year. The decrease in free cash flow was primarily driven by an increase in cash capital expenditures of $15.5 million, including new capacity with social distancing requirements in addition to working capital changes previously mentioned. The Company measures capacity utilization, including both, agents working at home and on site against total workstations. Capacity utilization remains strong at 77% in June 2021 versus 84% in June 2020, while launching new sites in the second half of the year. On a normalized basis, excluding the effect of the warrant fair value adjustment, our tax rate was 13% in 2021 versus 18% in the prior year. The reduction in the normalized rate was primarily the result of the U.S. employment tax credit, which is going to benefit the Company this year. We expect our fiscal year ‘22 normalized tax rate to continue to decrease as we implement greater taxpaying strategies, which will allow us to begin fully utilizing our U.S. net operating losses from prior years. We had a strong balance sheet and ended the fiscal year with $57.8 million in cash, total borrowings of $28.5 million and lease liabilities of $84 million compared to cash of $21.9 million, total borrowings of $31.3 million and lease liabilities of $74.7 million as of the prior year. Turning to the fourth quarter. Revenue of $108.9 million increased by 7.9% compared to the year-ago quarter. On a non-GAAP basis, adjusted net income increased to $5.8 million, compared to $3.1 million in the prior year quarter. Non-GAAP pro forma fully diluted, adjusted earnings per share increased to $0.31, compared to $0.16 in the prior year quarter. Adjusted EBITDA increased to $15.9 million or 14.6% of revenue, compared to $13.9 million or 13.8% of revenue for the same period last year. Turning now to fiscal year ‘22 guidance. Given our strong performance in fiscal year ‘21 and the continuing strength of our sales pipeline and revenue backlog, we expect fiscal year ‘22 revenue growth to be in the range of 7% to 9% over fiscal year ‘21. Revenue growth is expected to accelerate, beginning in the second quarter. Adjusted EBITDA is expected to be in the range of $69 million to $71 million. And CapEx is expected to be between $30 million and $35 million. We expect to return to moralized CapEx spending levels when social distancing restrictions subside. In closing, our growth momentum continues to be strong, and we are well-positioned for profitable results. Our base client business continues to have confidence in our ability to deliver consistent predictable results, and our new prospective clients look ibex to provide innovative solutions to enhance their brands. We continue to execute on numerous fronts and see tangible results from our unique BPO 2.0 value proposition. I’m confident ibex will remain a growth and transformation leader in the industry, and look forward to exceptional results this year. With that, Bob and I will now take questions. Operator, please open the line.
Operator: Thank you. [Operator Instructions] Our first question comes from Tobey Sommer of Truist Securities. Your line is open.
Jasper Bibb: Hey. Good afternoon, everyone. This is Jasper Bibb on for Tobey. My first question was just on the capacity, you’ve been adding in Nearshore recently. What’s been the experience ramping those sites? And is there going to be kind of any associated margin drag in the first half of next year as you start bringing those sites online?
Bob Dechant: Sure, Jasper. So, this is Bob. Hey, thanks for joining us, and great to hear your voice again. So, look, we’ve been growing proportionately with what we were doing -- what we did late last year and this year, in the first half of this coming year, really in ‘19, ‘20, and ‘21. And we saw no margin degradation as we brought the capacity online. And so, we feel really good about that, that this business, as you saw that we were going into Honduras, with an enabling client at about 400 agents worth of business. So, we feel very good about our trajectory to filling those sites, which is the key or, getting them, full in this social distancing world. We feel very good about that, around our business. Now, when I think about though, the first half with the Delta variant and things like that, there’s always going to be risk on some of the hiring. And clients quite often sometimes want to travel down to Jamaica, as the program gets started, or training get started. And with the variant and some of the travel restrictions, we’ve seen just a little deal slide. And so, kind of the path to revenue is just shifting a little bit. But I think, overall, we feel very good that what we’ve done in ‘19, ‘20, ‘21, will play out for us in ‘22.
Jasper Bibb: That makes sense. And then, could you just comment on kind of the big step-down in large account concentration during the fourth quarter, and what was driving that decline? It just seemed like a fairly significant sequential growth. 
Bob Dechant: Yes, sure. Sure is. And so, I guess first, let me just start with the strength outside of those three legacy clients is just off the charts, both with what we’ve closed in the past that’s growing, and then, big wins in the year that puts substantial revenue into our business. Now, I think, we have what I’ll describe as to what I’ll say onetime events that impacted us in let’s say, the second half of FY21. One of our largest clients emerged from bankruptcy with a new CEO that was focused on driving costs out of the business and kind of reinventing themselves. And then, the other one was again one of our top clients, these folks were in the telco world, that was doing a spin out divestiture of their video and streaming business to a PE firm. And when those two events happened, enterprise volumes basically went down fairly sizably, much more than they thought, much more than we had thought. And so -- and interestingly to know, as our market share with those clients, as the revenue has gone down has actually expanded. So, the good news is, as I see it is where that curve is flattened out, because those kind of onetime events has taken place. Now, it’s just kind of the -- kind of what has been the historical trajectory of the telco clients. And I guess, more importantly is, we’ve been able to hit these numbers, absolutely fantastic numbers for the year for Q3 and Q4 in spite of that, which I just look and say that’s really the strength of what we’ve built here and feel proud about that.
Jasper Bibb: Yes, got it. So, last question for me, just following up on your prepared remarks. Is there any way to better quantify, how much these kind of remote working costs have been weighing on your operating margins? And what that kind of delta is between where you are now and what kind of earnings potential might be in a normalized environment?
Bob Dechant: Sure. So, how I would think about this, look, there is obviously operating costs that we’re incurring. Our centers have 50% usable capacity from prior. Now, we as a business are running at about 37%, 38%, 39% work-at-home. So, we’re able to complement some of that lost capacity, significant of that with work-at-home. But the COVID testing, what I’ll call this agent shrinkage from COVID and now the Delta variant impacts your numbers. So, there is a lot on the cost side that are significantly higher, and we’ve outlined several of those. On the other side, there are some advantages. The two biggest P&L gains, I guess, one is, our T&E, not a lot of our people are traveling these days. So, that’s down significantly. And then, our U.S. business, the work-at-home model in the U.S. business has really made a big impact into kind of that margins. And I think we’re going to stay work-at-home for a long time in the U.S. So, I think that’s going to be kind of a go-forward game. I think, when you put all of that -- when you put all of those factors in, Jasper, I think we have clear upside as we look into kind of whenever we get out of this. And I think it’s -- and when that is, I don’t know, none of us know. But we think there is a lot of upside in this business, as we do that, upside in margin and clearly upside on revenue as what we are building to is really another $200 million of once we get past or into a pre-pandemic environment, operating environment, we have a lot of revenue that’s out there with limited CapEx. And so, I think there’ll be a great flow-through there. So, that’s kind of how I think about this.
Jasper Bibb: Got it. Thanks for taking the questions.
Operator: Thank you. Our next question comes from Dave Koning of Baird. Your line is open.
Dave Koning: Yes. Hey guys. Great job on the year.
Bob Dechant: Thanks, David.
Dave Koning: Yes. And I guess, my first question, it sounds like you’re going to bring on 3,200 workstations in the first half of next year. I think that adds something like 15% to the base. Is the reason revenue growth only -- it’s only going to be 7% to 9%, maybe there’s a little conservatism in there, but also just the geo mix is the yield a little lower. Is that the right way to think about it?
Bob Dechant: Sure. So, that capacity is coming online and it will -- we’ll be phasing in revenue of that. And so, I think, if you do the math, you have the ability to kind of grow that. Remember, your capacity is about half that, your usable capacity is about half of that. And our work-at-home complement, in the U.S. our work-at-home is 80%. In these other markets, it’s kind of in the 30s, and call it 30%, 35%, 40% work-at-home. And so, you put those two elements in there. And that’s kind of where we’re getting into our top line growth. And I’ll just say for 1 minute, the business we built -- and as you know, we built this business, and it has been performing consistently at a 10% revenue growth. And now, we’re at 15% -- right at that 15% margin threshold, and we’ve continually been improving. And so, I think structurally, this business is built for that. And we’ll continue that out over the next two or three years. When we look though, just with the Delta variant, with potential impact in the supply chain, and the supply chain perhaps of people, supply chain of computers, things like that, and then we’re investing back, now that we will accelerate, and we’re investing back into the business. We’re putting several million dollars into sales and marketing side of the business to continue to drive future growth. And then, we’re putting -- I think we’re putting, several million dollars then into investing in IT systems to let’s say, run our business more efficient and effectively. Put all of those things together, we kind of look and say, hey, let’s be cautiously -- let’s be cautious about our expectations for the year, hence, the 7% to 9% and the EBITDA in the $69 million to $71 million range. I will remind you, Dave, last year, we did the exact same thing. And we started the year at 59 and 61, and the business kept building momentum, in those big potential impacting. We were able to avoid those and operate our business really sound, really no shutdowns, limited shrinkage. And so, we’re able to attain fantastic numbers for the year. Our goal was to do that in ‘22. But it’s -- each day keeps getting harder and harder with the Delta variant.
Dave Koning: Yes, got you. Yes. I mean, you had a great year relative expectations, for sure. And maybe another thing, I mean, I thought that’s such an interesting data point that you’re now going to have capacity for about $200 million of revenue without extending the footprint. It always seems to us like, if all you have to do is add people and you’ve got all the capacity in place, you can often get 25%, 30% incremental margins. Is that about the right math? And does that imply over the next few years? If this is the formula, you should have really nice margin trajectory though.
Bob Dechant: Your thesis is spot on. It really is safe, and that’s how we’re thinking of the business. And so, again, when that happens, who knows? But, look, even without it, this businesses is pointed up into the right, both from a revenue and margin standpoint, and we’re hopeful. And as even Dan highlighted in kind of his thesis of ibex, he sees that, coming in -- really coming in from the outside. And that’s a really exciting potential.
Dave Koning: Yes. Thanks. And maybe just one quick last one, D&A kind of ramped through the year, and I know that’s just a function of CapEx growing and capacity coming on. It was about $7.5 million in Q4. How does that ramp through 2022? I mean, can we leave it around $7.5 million to $8 million a year? How should we think about that?
Bob Dechant: Hey Karl, I’ll bounce that over to you.
Karl Gabel: Yes. Thanks. And Dave, I can follow up with you on that point. But as we’re growing, remember, the D&A has two components. One is, with the PP&E, but you also have the -- under IFRS, you have the lease part of the depreciation that goes through there. So, that’s stuff that I can follow with you. I don’t have an answer for you right now on this call.
Dave Koning: Got you. All right. Thanks, guys. Great year.
Bob Dechant: I appreciate it. Thanks, Dave, for joining.
Operator: Thank you. [Operator Instructions] Next question comes from Ashwin Shirvaikar of Citi. Your line is open.
Ashwin Shirvaikar: Thank you. Bob, a quick question -- actually, the first question is clarification, I think. When I think of the -- I think you mentioned the percentage of people that are working from home. If all of a sudden tomorrow everything returned to normal and they all could come back in, I guess, the question is, what would your capacity be then, right? Because I think you put a couple of different numbers out there, but I’m not necessarily triangulating to the additional capacity for $200 million.
Bob Dechant: Sure. So, our capacity today, so, let’s look at what we believe is going to happen post -- when we return to normalcy, okay, kind of a pre-pandemic environment. When that occurs, we are going to still keep significant work-at-home in play. So, the light switch won’t go on and then everything goes fully back into centers. We’ve been with our clients. We talk with our clients. And every one of our clients is committed to keeping some element of work-at-home with us as part of their portfolio. So, today, as Karl touched on it, he said, our current capacity utilization is at 70% -- for the year is at 77%. So, if all you did would just take and moved everything from work-at-home and you’d be at the 77% utilization. However, our clients in the U.S. were going to stay at least 50%, maybe even up to 75% work-at-home going forward. And in the, what I’ll call, the emerging market regions, nearshore, Philippines, I believe this is probably going to be in that 15% range, maybe as much as 20%. So, when you look at that, our utilization, when we can use all of those centers is going to be at that point significantly lower. It’s going to be because we have this work-at-home component. So, you do that math, it’s probably going to be in maybe the 55% to 60% effective utilization of the in-center seats, which gives an enormous flow upside of being able to sell into, seats to sell into. And then, don’t forget, actually that we have the incremental 3,000, 3,200 seats that’s coming off board kind of as we speak right now, that then will each have a trajectory for revenue growth in those that you’ll see full in, certainly in the first in the first half of next year, if not by Q4 of this year. Put all that in, we think we have this couple of million dollars that’s sitting in this footprint?
Ashwin Shirvaikar: I got it. So, you’re essentially saying that even in a normal situation, work-from-home is a permanent option that many customers want?
Bob Dechant: That’s correct. Yes. Why? Because it gives you amazing flex capacity. You can just ramp up PCs. You’re not building brick and mortar time to ramp. And it gives you built-in resiliency for BCP, etcetera, where 18 months ago, everybody got flat -- caught flatfooted, because they had very, very little work-at-home, if any of your enterprise.
Ashwin Shirvaikar: Right. I also have a question about sort of the cadence of revenues through the course of ‘22, and you kind of mentioned Q2 onwards is when you expect to see the pickup. So, I guess, part of it is in your comps. But from a visibility perspective, are there any specific things you’re seeing, like particular client ramps, things like that that would affect that also?
Bob Dechant: So, we have many of the new logos that we won last year and especially several that were one in the second half of the year or late year, and then in -- that then may have started launching in Q1 are very, very high volume ramps with clients that are just experiencing explosive growth. So, when I look at the business that I think we have structurally built, Ashwin, it is a -- Q2 for us is always a big corner, because of all the retail work, the e-commerce work, the seasonality, for the holiday season, Black Friday, et cetera. But I believe that what we’ve done -- and what we did last year, if we didn’t have those two events, is that the second half the year, once -- as strong as our Q2, and this year, we would have been there, had it not been for kind of the two events that I talked about, structurally, our business is built like that, the pipeline that we’ve built. So, I think, you’re going to see a little bit of an inflection point on our -- call it, our -- what our historical quarterly flows were and what that might look like.
Ashwin Shirvaikar: Got it. If I can squeeze the third one in. When I look at your solutions, ibex Connect, ibex Digital, ibex CX, does any of them have higher or lower visibility, perhaps than the others? And the reason I’m asking the question is because of primarily 4Q, the middle of 4Q, you provided full year outlook. Obviously, there was a couple of million dollar delta between your expectations and what you delivered. So, my understanding is this primarily came from the traditional outsourcing business. So, are you seeing this very different trajectory or different visibility as you look across your solutions?
Bob Dechant: Sure. And that’s a fantastic question. And I would say, in the Connect part of the business -- and you’re right, some of the gap, large portion of that was attributed to these two kind of one-off one-time events. I think, we have great visibility to the revenue there. And short of those two events, which again are, we’re not even perceived by the clients that we’re dealing with at that time that meets inflection points would occur. So, we have I think repeatable business, very -- month-over-month, quarter-over-quarter with a good track record of seeing where the revenues are going. And as said, our revenue retention with our clients is off the charts, right? We continue to you -- we don’t lose clients here. And as said, our revenue retention is 99.5% from last year. Okay? That’s unheard of in this industry. So, I feel that that engine there is very, very predictable on revenue. Our digital marketing business is, I’d say, a little less predictable. Why? Because you have -- it’s marketing spend, it’s ad campaigns, digital marketing that’s out there that can be slightly based on promotions that certain clients have for the quarter. And so, there is less predictability there. That’s about 15% of our business. But, it’s our high margin business, our highest margin business. So, when I think about those two businesses, I feel good about our overall predictability, because you have the largest part of your business is very predictable.
Operator: Thank you. I’m showing no further questions at this time. I’ll turn the call back over to Bob Dechant for any further remarks.
Bob Dechant: Valerie, thank you very much. And again, for everybody, I appreciate everyone staying on the call and your attendance on the call. And we really appreciate your continued confidence in ibex. And we are looking forward to a fantastic FY22. So, with that, thank you so much and everybody have a good day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference. Thank you all for participating. You may now disconnect. Have a great day.